Operator: Greetings and welcome to the United Fire Group Third Quarter 2013 Earnings Call. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. (Operator Instructions) As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Ms. Anita Novak, Director of Investor Relations. Thank you. Ms. Novak, you may now begin.
Anita Novak - Director, Investor Relations: Thanks, Jessie. Good morning, everyone and thank you for joining this call. Earlier today, we issued a news release on our results. To find a copy of this document, please visit our website at www.unitedfiregroup.com. Press releases will be located under the Investor Relations tab. Our speakers today are Randy Ramlo, President and Chief Executive Officer; Mike Wilkins, Executive Vice President; and Dianne Lyons, Vice President and Chief Financial Officer. Other members of our executive team are also available for the question-and-answer session that will follow our prepared remarks. Please note that our presentation today may include forward-looking statements as defined in the Private Securities Litigation Reform Act of 1995. The company cautions investors that any forward-looking statements include risks and uncertainties and are not a guarantee of future performance. These forward-looking statements are based on management’s current expectations and we assume no obligation to update them. The actual results may differ materially due to a variety of factors, which are described in our press release and subsequent SEC filings. Please also note that in our discussion today, we may use some non-GAAP financial measures. Reconciliations of these measures to the most comparable GAAP measures are available in our press release and subsequent SEC filings. At this time, I am pleased to present Mr. Randy Ramlo, President and Chief Executive Officer of United Fire Group.
Randy Ramlo - President and Chief Executive Officer: Good morning everyone and welcome to United Fire’s third quarter conference call. This quarter we have lots of positives to talk about. We continue to have a favorable rate environment in commercial lines. We have improved our expense ratio. It was a favorable catastrophe loss quarter. Loss trends remain at approximately 3% and rate increases continue to exceed that amount and new business opportunities remain. On the negative side, we recorded a significant number of large losses in the quarter, which impacted our loss ratio and subsequently our combined ratio. Our investment portfolio remained somewhat lethargic and we experienced a bit of volatility in our favorable reserve development during the quarter, which as you know is uncommon given our conservative methodology of reserving. In the It Is What It Is category, our return on equity was a bit lower than we would like due to more large losses than expected. And our loss ratio and combined ratio were both higher than expected considering the rate increases we have been getting. We will try to address all of these issues in our comments this morning. As we mentioned in our release this morning, for the quarter, net written premiums increased 13.6%, net premiums earned increased 10%. Total reserves, excuse me, revenues are up 8% and our return on equity is up 15.4% compared to the third quarter of 2012. Our combined ratio improved 2.2 percentage points compared to third quarter of 2012, but at 100.3, it was higher than expected due to a significant increase in large losses recorded during the quarter. Mike Wilkins will discuss this issue in a few minutes. Our expense ratio improved for the quarter to 30.5% and our book value has improved so far this year to $29.30 per share despite the effect of rising interest rates on the fair value of our fixed maturity investments or bond portfolios. Year-to-date, the story is pretty similar. Our net written premiums and net premiums earned are both up 9.7%. Total revenues are up 8%. And our combined ratio improved by nearly one percentage point to 96.8%. Net written premiums in the Property and Casualty segment increased 14.7% during the quarter and 10.7% year-to-date. Earned premiums increased 10.7% for the quarter and 10.8% year-to-date. Commercial lines renewal pricing increased in most regions with average percentage increases in upper-single digits on more small and mid-market accounts. We have continued to see double-digit increases on accounts with adverse loss experience. Personal lines renewal rates are in the mid to high-single digits especially in catastrophe exposed areas of the country. Our overall person lines pricing increased slightly due to double-digit homeowners rate increases in our Midwest and East Coast regions. Competitive market conditions were unchanged on renewals, but persisted on new business during the quarter. Nonetheless, premiums written from new business remained strong, up slightly from the prior quarter and the same quarter a year ago. Our success ratio on quoted accounts was down slightly but still remained strong. The economy continues to – excuse me the economy continues to improve slightly as a result, premiums from policy changes and premium audits continued their positive trends. But I would like to note that premium audits and endorsements are very smaller parts of our current growth. Policy retention remained strong for both personal and commercial lines of business with over 83% of our commercial policies renewing and 88% of our personal lines policies renewing. This is up slightly from the prior quarter. As we have mentioned before, we monitor our policy retention closely to upper single-digit rate increases as long as this metric is not declining. Our expense ratio for the third quarter was 30.5 percentage points which was an improvement of 0.8 percentage points as compared to third quarter of 2012. Year-to-date, our expense ratio was 31.9 percentage points. We expect additional improvement in our expense ratio over the next few quarters as we continue to minimize expenses incurred as a result the Mercer Insurance acquisition. In our life segment, net premiums earned increased for the quarter, but decreased year-to-date. The increase in net premiums earned for the quarter was due to a slight increase in the guaranteed interest rate for sales of annuity products with life contingencies. However, the increase in guaranteed interest rates has not been sufficient to offset the decline net premiums earned year-to-date. The increase in liability for future policy benefits decreased in both the quarter and year-to-date due to the increase in net with-drawls of annuity products as we continue to achieve a more equal balance between our fixed annuity products and our life insurance products. Loss and loss settlement expenses is increased $1.6 million in the quarter and $1.2 million year-to-date compared to the same periods in 2012 due primarily to increase in death claim benefits. As you may recall loss and loss settlement expenses decreased last quarter which suggests that claims from quarter-to-quarter and year-to-year can be volatile. Our position is that unless we are seeing a trend over multiple quarters, we are not overly concerned about the natural rise and fall of loss and loss settlement expenses in the life segment. Net investment income for the life segment continues to decline due to the low interest rate environment. We do believe however that as interest rates increase investment income within our investment portfolio will improve which will at least partially offset the decline in the fair value of the fixed maturity investment portfolio. However, we are not yet seeing the full benefit of rising interest rates on our net investment income. With that I would like to turn the discussion over to Mike Wilkins, our Executive Vice President.
Mike Wilkins - Executive Vice President: Thanks Randy. Net premiums in our commercial lines increased 18% during the quarter and 11.7% year-to-date. The line is experiencing the greatest amount of rate increase were primarily workers compensation and to a lesser extent commercial, auto, and fire and allied lines which includes commercial multi-peril and inland marine. Net written premiums in our personal lines were flat during the quarter but increased 3.2% year-to-date. Year-to-date growth reflects rate adjustments initiated as a result of predictive analytic evaluations. Fire and allied lines increased 11%, but personal auto decreased 15.4% for the quarter. The decline in personal auto was due to final conversion adjustments made as a result of the Mercer Insurance acquisition. Third quarter 2012 included additional coverages that Mercer Insurance Group historically included in personal auto lines and that United Fire does not. This has been change effective January 1, 2013. Year-to-date fire and allied lines increased 6.8% and personal auto lines decreased 3.2%. Written premiums in the assumed reinsurance line of business decreased 25.9% for the quarter due to the timing of premiums received year-to-date written premiums in the assumed reinsurance line of business increased 2.7% due to increased participation in assumed contracts. We believe rate increases continue to exceed loss cost trends overall. Average loss cost trends for the industry are currently approximately 3% according to a recent Towers Watson report. The organic growth recognized in the third quarter compared to the third quarter 2012 was 15.2%, 8 percentage points are attributed to renewal rate increases, 3.1 percentage points are attributed to new business, and 4.1 percentage points are attributed to net premium audits, endorsements and the timing of when renewals were booked. Frequency trended downward in the third quarter compared to the third quarter of 2012 due to a benign hurricanes season for the U.S. Severity, however, was up significantly in the third quarter 2013 due to a significant increase in the number of the reported large losses, which we define as claims exceeding $500,000. In the third quarter of 2013, we reported 27 large claims totaling $20.6 million net of reinsurance compared to 17 large claims totaling $11.5 million net of reinsurance in 2012. Most of the claims were in the commercial auto or general liability lines of business. We do have some large losses in workers’ compensation line as well, but to a lesser degree. It should also be noted that some of these large losses were increases to claims reported in earlier periods. Severity by quarter can be very choppy and we recognized that one quarter is not an indication of a trend. However, we are analyzing our experience to determine if the issue is exposure related or due to the timing of claims reported. The impact of large claims on the combined ratio in the third quarter was 11.6 percentage points compared to 7.2 percentage points in the third quarter of 2012. With that, I will turn the financial discussion over to Dianne Lyons.
Dianne Lyons - Vice President and Chief Financial Officer: Thank, Mike. Consolidated net income was $11.7 million for the third quarter and $49.6 million year-to-date compared to net income of $8.7 million and $42.6 million for the same periods of 2012. The increases were driven primarily by growth in property and casualty premiums earned, which increased to 10.7% for the quarter and 10.8% year-to-date compared to the same periods of 2012. Catastrophe losses for the third quarter totaled $8.5 million in both 2013 and 2012. Normally, third quarter of any given year will experience heavier losses associated with late summer storms and hurricanes. The 2013 proved to be a benign hurricane season for the U.S. Year-to-date catastrophe losses contributed 5.3 percentage points to the combined ratio. Our annual catastrophe load is 6 percentage points. So we are currently well within our expectations for the year. During third quarter 2013, we experienced favorable reserve development of $8.6 million or $0.22 per share. Year-to-date, we experienced favorable reserve development of $49 million or $1.25 per share. I would like to remind investors that there is a great deal of volatility from quarter-to-quarter and year-to-year in the reported amount of prior year’s reserve development due to the fact that reserve development occurs and is primarily affected by the timing associated with the settlement of claims. To that point, I will remind our listeners that an average favorable development for the last three years has been $60.1 million and that our current year-to-date favorable development is consistent with that average. In third quarter 2013, our total reserves remained relatively flat within our actuarial estimate. Losses and loss settlement expenses increased $11.4 million or 9.5% compared to third quarter 2012 partially due to the added exposure from increased premium volume. Year-to-date, losses and loss settlement expenses increased $31.1 million or 9.8%. Consolidated investment income was $27.3 million for the quarter, which is a decrease of 4.8% compared to $28.7 million a year ago. Year-to-date, consolidated investment income was $82.8 million, which is a decline of 4.4% compared to 2012. The year-to-date decline is attributed to continuing low interest rates and we don’t expect this condition to change anytime soon. The weighted average effective duration of our fixed maturity securities portfolio at September 30 was 4.76 years compared to 4.0 years at December 31. Year-to-date, total return for the equity portfolio was 2.75% compared to 2.11% for the S&P 500. Net realized investment gains for the third quarter totaled $1.2 million compared to $1.3 million in 2012. Year-to-date, net realized investment gains totaled $7.3 million compared to $4.7 million in 2012. Net unrealized investment gains totaled $115.6 million as of September 30, which is a decrease of $28.5 million net of tax since December 31. This is due to unrealized investment losses in the fixed maturity investment portfolios as a result of raising interest rates, which were somewhat offset by market value increases in our equity investment portfolio. Regarding capital management, during the third quarter of 2013, we declared and paid a dividend of $0.18 per share to shareholders of record on September 3, 2013. We believe that a consistent payment of dividends remains the most effective way of returning capital to our shareholders. We have paid a dividend every quarter since March 1968. We did not repurchase shares through our current stock repurchase program during the third quarter given the significant appreciation of our stock price during the quarter. So the plan continues to have approximately 1.1 million shares available through repurchase until August 2014. It is management’s position, however, that our best use of capital at this time is to write new profitable business. Our stockholders’ equity increased to 2.1% to $744.2 million at September 30 from $729.2 million at December 31. At September 30, 2013, book value was $29.30 and our annualized average return on equity was 9%. And with that, I will open the lines for questions.
Operator: Thank you. (Operator Instructions) Our first question is coming from the line of Paul Newsome with Sandler O’Neill. Please proceed with your question.
Paul Newsome - Sandler O’Neill: Hi, good morning. Thanks for the call.
Randy Ramlo: Hi, Paul.
Paul Newsome - Sandler O’Neill: Maybe just a little bit more on the large losses, was there any commonality in the sort of types of policies, geographies, just to give us a sense of whether or not, there was any sort of correlation within the types of losses themselves?
Randy Ramlo: Paul, this is Randy. We will continue to look into this, but first some lecture, there really isn’t any commonality there out of several different branches representing several different lines. And I think Mike noted the number that we are really talking about 10 additional large losses. So though they make up a decent amount of dollars it’s 10 separate events across the country that really caused it. So we will continue to look into it. I think we said we know that it’s not from new accounts it’s actually accounts that we have written for some time. So it wasn’t a reflection of some of the new business that we have written either so. We will continue to look into it, but at what we looked at so far, we really haven’t seen any commonality at all.
Paul Newsome - Sandler O’Neill: That’s a good sign. The second question I had was do you feel you have essentially reached the expense levels, particularly when you look at the expense ratio that you wanted to post the Mercer transaction that looks to me like you have kind of gotten there, but I want to see if that’s a correct impression in your view as well?
Randy Ramlo: Actually, we are not quite. I think we are getting close. We hope our larger size will have a little bit of efficiencies with regards to the expense ratio. So not a lot of additional movement, but I personally like to see it a little bit below 30%, 30% or a little below 30%.
Paul Newsome - Sandler O’Neill: Great, thanks.
Randy Ramlo: Thank you, Paul.
Operator: Thank you. (Operator Instructions) We do have a question coming from the line of Seth Canetto with KBW. Please proceed with your question. Mr. Canetto, your line is now live. You may proceed with your question.
Seth Canetto - KBW: Hi, good morning. What would a normal large loss load be on an average quarter?
Randy Ramlo: We actually – we really haven’t kept track of that, maybe we will, going forward. We looked a little bit in past quarters and noted that this one was higher, but we really never looked added from that respect.
Seth Canetto - KBW: Okay, okay, thanks. And was any of the large loss activity the result of abnormally-sized litigation awards?
Randy Ramlo: I will let Dave Conner see if he has any color on that?
Davie Conner: It’s a great question. But now, I can’t recall anything shocking from a trial result set. So I would say no, these are – they are fairly new to their – the majority of them are current year losses and therefore that would add to me not being able to think of any that were the result of a verdict.
Seth Canetto - KBW: Okay. And moving on consistent with the past, you guys have mentioned that unattractive credit rates have contributed to low demand for your fixed annuity product, could you – what’s the current crediting rate on the new sales?
Randy Ramlo: We will have Mike Sheeley with our Life Company address that one.
Michael Sheeley: On the single premium deferred annuity six-year is 2.25. We also offer a five-year product at 1.9 and a four-year product at 1.6.
Seth Canetto - KBW: Okay, okay. That seems about in line with some of the fixed annuity providers that we cover who are seeing strong annuity flows though they have a more dedicated sales channel. Is there something we said here about life and annuity products being somewhat ancillary to your primarily P&C agents business?
Randy Ramlo: I will maybe try that one. We – the Life products are actually mostly sold, I think years ago, they were sold a lot by the same agency force, but that’s really changing. Most of our Life products now are sold by dedicated life and annuity sales people, very small percentage come from our P&C agents anymore.
Seth Canetto - KBW: Alright, that’s it from me. Thanks for the answers.
Randy Ramlo: Thank you.
Operator: Thank you. The next question is coming from the line of Gary Lu with First Investors. Please proceed with your question.
Gary Lu - First Investors: Hi. Just a quick question, in the press release, you guys talked about you are on track to meet or exceed 2013 expectations, I don’t recall you guys talk about the expectations before. Can you just give some color if possible?
Randy Ramlo: Yes. We, as you probably know, Gary, we don’t give guidance, but it was just basically a comment that we think we are on track for our own internal goals for 2013. The fourth quarter trends to be usually a pretty good quarter for us just because of the lack of catastrophic storm losses. So we think the second and third quarters tend to be a bit elevated quarters for us and then in the first and fourth trend to be better. So we think we are still on track for profitability and growth goals that we have internally.
Gary Lu - First Investors: Thank you.
Randy Ramlo: Thank you.
Operator: Thank you. (Operator Instructions) It appears we have no further questions at this time. I would now like to turn the floor back over to Ms. Novak for any concluding comments.
Anita Novak - Director, Investor Relations: Thanks, Jessie. This now concludes this conference call. As a reminder, a transcript of this call will be available on the company website at www.unitedfiregroup.com. On behalf of the management of United Fire Group, I wish all of you a pleasant day.